Operator: Good morning. This is the conference operator. Welcome, and thank you for joining the Publicis Groupe's Full Year 2025 Results Conference Call. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Arthur Sadoun, Chairman and CEO of Publicis Groupe. Please go ahead, sir.
Arthur Sadoun: Thank you, Sherry. [Foreign Language], and welcome to Publicis Groupe 2025 Full Year Earning Call. I am Arthur Sadoun, and I'm here in Paris with our CFO, Loris Nold. Jean-Michel Bonamy is also here and will be available to take all of your questions offline after this call. I will start this presentation by sharing the main highlights of 2025 and our guidance for 2026. Loris will then provide the full details of our numbers before I come back with a strategic update. As usual, we will take your questions together after the presentation. But before we start, please take the time to read the disclaimer, which is an important legal matter. Let's dive into the presentation with three key highlights. First, we delivered a very strong Q4 at plus 5.9% organic growth, leading to plus 5.6% for 2025, generating record market share gains. These results set us apart. This is our 6 years in a row of industry outperformance, and we are further widening the gap with our peers. Second, we are increasing our operating margin, EPS, and free cash flow, while accelerating our investments in AI-powered capabilities, talent and new business. This demonstrates our unique ability to generate further operating leverage while investing in our future. Third, thanks to our high client retention rate and our new business track record, we expect to maintain our underlying business dynamics in 2026 with another solid full year guidance. Let's start with the first highlight. Organic growth was plus 5.9% in Q4, despite a tough comparable at plus 6.3% in 2024. This represents a better-than-anticipated Q4, which is traditionally an adjustment quarter and a sequential improvement resulting in a stronger H2 versus H1. This leads to plus 5.6% for the full year in 2025, an acceleration versus our 5-year organic growth CAGR of 5%. Our performance is driven by three major elements: our best-in-class client retention rate; our ability to grow with our existing clients, which contributed roughly to 300 basis points demonstrating our ability to capture a disproportionate share of their demand for AI-powered products and services; and our record new business performance since 2024, creating a tailwind of 250 basis points. These very strong results were led by the continued strength of our AI-powered media and creative operations, totaling more than 85% of our revenue. Connected Media, representing 60% of our net revenue, delivered high single-digit organic growth, driven by market share gains, increased demand for AI-powered products and services and new addressable markets. Intelligent Creativity, representing circa 25% (sic) [ 26% ] of our net revenue, had a very solid year at mid-single-digit organic growth, fueled by production, new business wins, scope expansions and fewer cuts than anticipated in classic advertising in Q4. Publicis Sapient representing less than 15% of our net revenue was positive in Q4. As expected, organic growth was almost flat for the full year. Like all leading IT consulting firm, we continue to see client cautiousness towards CapEx spend due to a continued challenging macroeconomic environment. Despite ongoing macro conditions, all our regions performed strongly, demonstrating the unique global consistency of our model and its supplier resilience to local challenges. The U.S., our largest market representing 57% of our net revenue in Q4, posted solid organic growth of plus 4.3% for the quarter. This led to a growth of plus 5.2% for the year, cementing our #1 position in this market. Europe delivered plus 6.3% in Q4, accelerating versus Q3, driven by double-digit growth for Connected Media and leading to plus 4.2% full year organic growth. Asia-Pac delivered plus 6.2% organic growth in Q4, fueled by continued new business wins, leading to plus 5.8% for the full year. China had actually a strong overall year at plus 6%. Second highlight. In 2025, we progressed on all financial KPIs, while materially accelerating our investments, demonstrating strong operating leverage. First, we improved our industry high operating margin to 18.2%. In detail, we actually are now close to 50 basis points in operating leverage. Thanks to our platform organization, a continued focus on automation, offshoring and overall cost discipline. This 50 basis points can be broken down to two; 30 basis points in incremental investment versus 2024, including talent upgrade, our AI plan and new business, which together amount of 230 basis points in 2025; and 20 basis points in operating margin improvement versus 2024, enabling us to reach 18.2%. Second. Headline EPS came at EUR 7.48, up 6.6% versus 2024 at constant currencies, ahead of our organic growth of plus 5.6%. Third, and for the first time, our free cash flow exceeded EUR 2 billion, representing a year-on-year growth of 10.6%, well above 2024 record levels. When it comes to M&A, we maintained the high pace of 2024 with circa EUR 1 billion invested to strengthen our capabilities in identity resolution with Lotame; pharma with p-value; influencer marketing with Captiv8 and BR Media, HEPMIL; and sport marketing with Adopt and Bespoke. Finally, we are proposing a dividend of EUR 3.75 per share, up 4.2% versus 2024, representing the highest payout ratio of the industry at 50.1% and 88% increase over the last 5 years. Now given the recent depreciation of the U.S. dollar, we thought it would be interesting to show you how we perform in these currencies. Net revenue is at $16.4 billion, increasing by 8.8% versus 2024. Operating margin is up to $3 billion, a 9.8% increase; and EPS rose by 7%. Free cash flow is at $2.3 billion, up 15.4% (sic) [ 15.5% ] versus last year. And the dividend we are proposing to the AGM will be up 8.8% in dollars. Last highlights, our guidance for 2026. Like in 2024 and in 2025, we are starting 2026 with the same guidance of 4% to 5%. This sustained performance year-after-year demonstrate the underlying strength of our model in good and bad times. It is the ongoing result of our new business tailwind, our client retention rate and our continued investment in our model to benefit from client arbitrage, particularly, in AI-powered products and services. This performance assumes Connected Media growing high single digits. Intelligent creativity up low- to mid-single digit, and Publicis Sapient delivering a slight increase. On operating margin, we will continue to slightly improve our already industry-leading margin in 2026, while maintaining high level of investments consistent with 2025. On free cash flow, we are targeting circa EUR 2.1 billion. This cash generation will allow us to maintain a consistent capital allocation policy, including the payout of our cash dividend, buybacks to keep the share count stable as well as bolt-on acquisition for roughly EUR 900 million to continue adding the differentiating capabilities that will help our client growth. I will now leave the floor to Loris, who will take you through the detail of our numbers. I will then come back to provide a strategic update for 2026 and beyond.
Loris Nold: Thank you, Arthur, and good morning, everyone. Let me begin with the key highlights of our full year results. Full year revenue was EUR 17.399 billion, up 8.5% versus 2024. Full year net revenue was EUR 14.547 billion, up 4.2% versus 2024 and up 5.6% on an organic basis. Operating margin was EUR 2.648 billion, up 5.1% versus 2024, representing a record 18.2% operating margin rate, up 20 basis points versus 2024. Headline net income was EUR 1.896 billion, up 2.4%. The increase was 6.6% at constant currency. And free cash flow before change in working capital was EUR 2.032 billion, up 10.6% versus 2024. I will now get into the details of the P&L, free cash flow and balance sheet, starting with the net revenue. In Q4 2025, net revenue was EUR 3.866 billion, up 0.3% on a reported basis. This includes a net negative impact of currency of 660 basis points due to the depreciation of the U.S. dollar, the pound sterling and several LatAm and APAC currencies versus the euro. A contribution from acquisitions, net of disposals of 140 basis points reflecting the impact of 2025 acquisitions including Lotame, Captiv8, BR Media, Atomic 212 and p-value. Finally, plus 5.9% organic growth, which comes on top of plus 6.3% in Q4 2024. Let's move to the next slide, which shows our Q4 net revenue by region. North America was up 4.2% on an organic basis on top of plus 5.6% in Q4 2024. This solid performance reflected the continued strong dynamic across Connected Media and Intelligent Creativity. There was a negative impact of the USD versus euro, partly offset by the contribution from acquisitions and reported revenue was at minus 3.2% in Q4. Europe delivered plus 6.3% in organic growth, benefiting from year-end adjustments, which led to strong performances in U.K., France, Germany, Spain and Italy. There was also an impact of the pound sterling versus euro leading to a reported growth of plus 4.4% for the region. Asia Pacific posted plus 6.2% organic growth. China remains solid. India and Australia delivered close to double-digit growth. Again, the impact of currency depreciation in the region versus the euro led to a 0.3% reported growth in Q4. Middle East & Africa and Latin America continued to perform very strongly and reported plus 25.3% and plus 19.1% organic growth, respectively. Let's get into more details for each region, starting with North America. In the U.S., the group's largest geography, which represents 57% of our net revenues, organic growth was plus 4.3% after plus 5.2% in Q4 last year. Connected Media and Intelligent Creativity were both up mid-single digits, benefiting from new business wins and scope expansions. Publicis Sapient was almost flat in Q4, with continued wait-and-see attitude from clients. Let's turn to the performance in Europe on the next slide. Europe recorded plus 6.3% organic growth in Q4. The U.K., which represents 9% of our net revenue, posted a strong plus 7.2% organic growth on top of plus 7.2% in Q4 2024. Connected Media was up double digit in Q4. Intelligent Creativity posted a mid-single-digit growth, while Publicis Sapient benefited from some positive phasing and was also up mid-single digit. France, which represents 6% of our net revenue, posted plus 1.8% organic growth. Excluding Technology, organic growth was at plus 4.4% with both Connected Media and Intelligent Creativity growing mid-single digits. Germany, which represents 3% of our net revenue, accelerated organically to plus 8.9% in Q4, fueled by a double-digit Connected Media. Lastly, our operations in Central & Eastern Europe continued to grow strongly, posting a plus 5.5% organic growth on top of plus 18% last year, fueled by Romania and Hungary. Moving to the next slide, our performance in the rest of the world. Asia Pacific, which represents 9% of our net revenues, delivered plus 6.2% organic growth driven by Connected Media, which was up double digits. China continues to be very solid with plus 4.3% in Q4 and plus 6% for the full year. Australia delivered strong performance with plus 9.5% organic growth in Q4 and plus 7.3% for the full year. Middle East & Africa posted plus 25.3% organic growth in Q4, driven by double-digit growth across all practices. Latin America posted a plus 19.1% organic growth in Q4, driven by both Connected Media and Intelligent Creativity, in particular, in Brazil and Argentina. For your reference, you will find, on the next slide, the full year performance by region. As you can see, all regions posted strong organic performance for the full year 2025, leading to plus 5.6% in total for the group on top of plus 5.8% in 2024. On the next slide, you will find our performance by client industry. For the full year 2025, 9 out of our 10 client industries posted positive growth. Food & Beverage delivered plus 14.2%, thanks to new business wins and scope expansions. Financials ended the year up 11.2%, thanks to new business wins. Healthcare had another strong year at plus 10.9%, thanks to new business wins and scope expansion across several clients. The TMT sectors continued to perform well, posting plus 3% in 2025 on top of double-digit growth in 2024. Despite the challenging environment, Automotive finished the year up 1% after delivering positive growth every quarter of the year. Moving to the next slide and our simplified P&L down to the operating margin. Operating margin was EUR 2.648 billion, up 5.1% versus last year. Operating margin rate was 18.2%, up 20 basis points against the record level of 2024. Personnel expenses, excluding restructuring, increased by 3.9% compared to 4.2% for net revenue, generating 15 basis points in margin improvement. Restructuring increased by 11% due to continued investments in talent upgrades. Other operating expenses were up 3.6%, contributing 5 basis points of margin improvement. Depreciation was up 5.1% due to the increased real estate footprint and IT investments. Moving to our operating margin bridge on the next slide. Our margin improved by 20 basis points. On the one hand, we delivered 50 basis points in operating leverage, demonstrating our strong cost management against a solid top line growth. This 50 basis points improvement came from personnel expenses for 35 basis points and other operating expenses for 15 basis points. On the other hand, we spent 30 basis points on incremental investments in our AI plan, restructuring costs and new business. Moving now to our headline income statement below operating margin and focusing on the main items. Headline net financial expenses were a charge of EUR 107 million versus EUR 39 million in 2024, attributable to a lower interest rate for our USD-denominated cash balance. Headline net income tax was EUR 640 million with an effective tax rate of 25.1%. Headline net income was EUR 1.896 billion, up 2.4% versus 2024. Again, the increase was 6.6% at constant currency. Next slide, our headline EPS fully diluted grew by 6.6% at constant currency to reach EUR 7.48. On a reported basis, growth was 2.5%. Moving to the next slide, free cash flow. Our free cash flow before change in working capital reached EUR 2.032 billion, up EUR 194 million or 10.6% versus 2024. As expected, the increase in EBITDA of EUR 154 million significantly contributed to the year-on-year growth. There was also a tailwind in tax paid, mostly resulting from non-recurring payments in 2024 and benefiting from the change in tax regulation in the U.S. in 2025. This was partly mitigated by, first, a lower financial income resulting from lower cash balances in euros as well as lower interest rates; second, an increase in CapEx, as expected, reflecting higher investments in our platform and cloud infrastructure as well as additional refurbishment expenses related to new leases. Moving to the next slide, use of cash. In 2025, change in working capital represented an inflow of EUR 234 million coming after an outflow of EUR 161 million in 2024. While we were aiming for neutrality, we benefited from some positive phasing in client collections at the very end of the cutoff period. Acquisitions, including paid earn-out, amounted to EUR 709 million. Our dividend was paid in July, resulting in a net cash out of EUR 912 million. On share buybacks, we spent EUR 147 million in 2025 to cover our LTI plans. Other non-cash items represented a negative EUR 725 million. There were two main items: EUR 305 million due to the change in earn-outs and buyouts, EUR 411 million due to the lower U.S. dollar impacting our cash balances. Overall, as a result of these variations, we decreased our end of year net cash position by EUR 227 million. Moving to net financial debt. We closed 2025 with a net cash of EUR 548 million, which finished the year with a slightly lower-than-expected average net debt on the last 12 months at EUR 971 million. The increase of EUR 386 million compared to last year is mostly due to the impact of the U.S. dollar versus euro, and it also includes the full year impact in 2025 of the acquisitions completed in 2024. And our financial leverage remained stable at 1x, as expected. Moving to the next slide. A dividend of EUR 3.75 per share will be proposed at our next AGM in May. This represents a payout of 50.1%, in line with the group financial policy and an increase of 4.2% versus 2024. This dividend will be fully paid in cash. Moving to my last slide, cash allocation for 2026. Our outlook for 2026 is a free cash flow before change in working capital of circa EUR 2.1 billion. Like in prior years, our capital allocation will continue to be comprised of the same three pillars: first, a cash dividend of EUR 950 million, in line with our payout policy of 45% to 50% of free cash flow; second, share buybacks for an estimated EUR 175 million to cancel the potential dilution resulting from our long-term incentive plans and to keep the share count stable; last, we anticipate investing circa EUR 900 million in selected bolt-on acquisitions. This concludes my financial presentation, and I now give the floor back to you, Arthur.
Arthur Sadoun: Thank you, Loris. As you just saw, 2025 was another year of strong performance. These results are driven by the growth model we have built in this new AI-driven world. In fact, since the rise of GenAI 3 years ago, we have consistently demonstrated that artificial intelligence is not a headwind for Publicis. For us, it is actually a strategic driver of growth and margin expansion. Over that period, in organic terms, our net revenue increased by EUR 2.3 billion, close to 20% and our operating margin by roughly EUR 0.5 billion, also close to 20%. We have also proven the differentiation of our model by significantly widening the gap versus our peers. This is true when it comes to organic growth with an industry out-performance of more than 700 basis points in 2025 on consensus average, up from 230 basis points in 2022. It is also visible in our operating margin with a 450 basis point lead in 2025, up 150 basis points compared to 2022. Our outstanding performance come down to three strategic moves we made in the last decade. EUR 14 billion invested in data and technology. The Power of One to integrate those capabilities at the heart of our media and creative operation and a first-mover advantage in AI with the creation of the Marcel platform in 2017. This has allowed us to reach the #1 position on all KPIs in 2025. On net organic growth growing more than twice as fast as the second best performer. On global media billing for the first time last year, including in the U.S. and China, on client retention with no material account loss and a 98% retention rate on new business with more than $8 billion in net new business, as you can see in the JPMorgan ranking. On financial KPIs, notably margin and free cash flow. On ESG ranking 1st according to seven leading rating agencies. And on market capitalization at $26.5 billion at the end of 2025 despite the merger of two of our largest peers. Now as we enter our next century, we will go even further in prioritizing transformative growth over legacy asset restructuring. In this booming AI world, our ambition is to be the MVP. In this case, not the most valuable player, but the most valuable partner for our clients, our people and our shareholders. Let me break that down for you. First, being the MVP of our clients, means we want to be their indispensable partner in their agentic business transformation. No doubt, AI is going to revolutionize everything we do. But so far, it is difficult to scale, expensive to put in place and fails to deliver measurable value in 95% of cases. To cut the long story short, consumer adoption of AI is better and faster than company adoption. To realize the true potential of artificial intelligence, client need partners that can build enterprise-grade AI solution and leverage them to deliver profitable growth. Concretely, this means a partner that is able to implement the right tech infrastructure, build business agents on the top, put data at the core, orchestrate an agentic platform and leverage the best capabilities, particularly in media and creative for our sector. We are uniquely built to deliver on each of these steps. And even more importantly, we can connect this full ecosystem, thanks to Publicis Sapient future-facing products like Slingshot and Sustain that can write and modernize client software in half of the time and for 30% of the cost as well as Bodhi, which creates and orchestrate business agents and models. Epsilon data stack, which allow us to see, understand and directly engage transparency and securely with 91% of adults connected to the Internet globally. Our AI platform Marcel, which connect all of our marketing agents to drive effectiveness for our clients and transforming our workforce. And finally, our Connected Media and Intelligent Creativity operation, which continued to grow ahead of the industry. Our ability to leverage AI to truly deliver business outcome is the reason why so many clients arbitrate in our favor, as visible in our widening outperformance. Our #1 priority is now to make sure that we can expand this expertise to all of them. Second, we want to raise the MVP of (sic) [ for ] our people. Let's be clear. Publicis is a savvy business that is the most advanced in AI, data and technology in our domain. But while capabilities are qualifier, people are still our biggest differentiator. Considering them only as adjustment variables could be the case of death in our industry. As Publicis continue to grow, we will empower our people to seize the opportunity of artificial intelligence and enable every one of them to progress. This means expanding our ambition in upskilling programs through our platform Marcel to make our teams truly AI fluent. In parallel, we will encourage them to leverage new AI tool at their disposal, including agents and coaches. This will enable them to deliver industry-leading personalized and high-impact marketing while boosting their effectiveness and productivity along the way. Last, but not least, we also want to be the MVP for our shareholders. We are more confident than ever that the technological revolution led by AI will remain a powerful driver for Publicis, both in terms of sustainable growth and operating leverage in 2026 and beyond. On top line, we expect to continue outperforming the industry with a solid 6% to 7% net revenue annual growth at constant currency, fueled by existing client expansion, new business wins and contribution from acquisitions. AI is making the marketing landscape increasingly complex and fragmented with none of the major platform representing more than 4% of total marketing spend for our clients. As you have seen in our results, this has put us in a unique position to be a connective tissue generating material growth. On media operations, thanks to our ability to connect paid media, CRM commerce and influencer through AI, but also on content activity, driven by AI production platform delivering personalization at scale. AI is also a game-changer when it comes to bolt-on acquisition. It allows us to rapidly integrate and connect newly acquired capabilities through our own AI tools and data. As a result, we saw strong 20% organic growth of those new expertise in 2025. In the coming year, we will maintain momentum on acquisition targeting identity resolution, new media channels, production and business transformation. We are also confident in our ability to improve our bottom line, anticipating annual EPS growth of 7% to 9% at constant currencies. This will come directly from our profitable top line growth, but also from our ability to increase the productivity of our operations with AI. By accelerating the AI-fication of our organization, we will bring even greater elasticity to our cost base, by identifying our processes using AI agents to take on repetitive, labor-intensive and time-consuming tasks. These Agentic solutions will help us create additional headroom allowing us to invest and generate margin improvement in 2026 and beyond. Well, if there is one thing we hope you will take out of this presentation, it is that we have really built a growth model for this new AI world. 2025 was another year of strong performance for Publicis. We accelerated on our 5-year organic growth CAGR and increased the gap with our peers on every metrics from new business to organic growth, margin and free cash flow. In 2026, we expect to outperform once again delivering 4% to 5% organic growth despite 6 years of high comparables, while increasing our already industry high margin and record free cash flow. We will continue to execute on our strategy by being the MVP of our clients, our talent and our shareholders. This should result in sustainable solid top line growth, margin expansion and further EPS growth in 2026 and beyond. Let me end by thanking our clients for their trust and our people for their outstanding efforts. Thank you for listening. And now, with Loris, we are ready to take your questions.
Operator: The first question comes from Laura Metayer of Morgan Stanley.
Laura Metayer: And congrats on the strong organic growth that you achieved in Q4. I have three questions, please. The first is on the deceleration in organic growth that you had in the U.S. in Q4. Can you talk a little bit about what's driving this? Is it purely due to Q4 being an adjustment quarter? And is that trend continuing into Q1? Can you reassure us a little bit here? Second one is on the guidance. It seems conservative in terms of organic growth for '26 versus what you achieved in Q4 and 2025? Is it just you being conservative or do you think there will be a deceleration in 2025? And how are you thinking about the impact of net new business versus underlying growth for '26? And then lastly, you talked about your ambition to grow 6% to 7% in constant currency and 7% to 9% EPS growth. Is it -- is that something that you mean you're confident to do in the midterm or did you -- were you referring to 2026?
Arthur Sadoun: Thank you very much, Laura. A lot of questions. I think we're going to start with the guidance, then we'll go to the U.S. and then maybe we'll close with what we see beyond actually 2026, which are the numbers we gave at the end. So let's spend a moment on the guidance, because this is a very important exercise, of course, in the context. I mean in 2026, as we said, we expect to sustain the same underlying business momentum as you have seen in the last years, because it has been years now. Actually, you will remember that Laura, but just like in '24 and '25, we are setting a guidance of 4% to 5% and we plan to outperform the industry for the seventh year in a row, Laura. And let's be clear, the 4% is rock-solid. Again, what I think we're going to demonstrate here, and hopefully, you've seen that in the presentation, is that we are building a growth model that can deliver against what is a tough and high 6-year comparable in market conditions that are pretty challenging. And again, and I'll come back on beyond 2026 when you start to add the contribution of acquisition, it means that we're going to generate between 6% and 7% growth at constant currency in 2026. Now if you look at the detail of the number, there are a couple of things that are interesting. When you look at the 4% to 5%, again, we are expecting Connected Media to grow high single digit, and we'll talk about the U.S. in 1 second. We expect Intelligent Creativity to still be up on the segment that normally is down for most of the market, will be low to mid-single digits. And the good news is that -- as you know, Publicis Sapient has been positive in Q4, and we see them delivering a slight increase next year. To come back to your question, at this moment of the year, exactly as we did last year and the previous year, we expect to reach the higher end of the guidance if the macro condition improves over the course of the year. I mean, we are talking, as last year and the year before, about EUR 700-plus million that we can add to our business. But before I go to the other financial KPIs, maybe Loris, you can say a word about Q1.
Loris Nold: Sure. So, when it comes to Q1 and overall 2026 quarterly phasing, we actually anticipate a very similar pattern as we had in 2025, which essentially means, first and more importantly, that all the quarters will be within the guidance range. Second, that the quarters will be fairly consistent from one to the other compared to last year, if you remember, Q1 was the lowest. Q4 remains an adjustment quarter. And let's not forget also that we have some positive adjustments in Q4 this year. So depending on what happens in Q4, that could create a small variation, but all the quarters will be within the guidance that Arthur just laid out.
Arthur Sadoun: We'll come back -- so just maybe I'm trying to see how we can take all of your questions. Maybe I'll take on your point about the contribution of new business, okay? So the good news is, we are entering 2026 with actually high visibility, when it comes to new business and we are expecting to deliver in 2026 around 200 basis points. I think there is an important point to take into consideration here is that the material wins that we had in 2025 started early in the year. We have great win in H2, but we had a great win in the first part of the year that actually had a significant impact already in 2025. Now when it comes to existing clients, which is again what I think is the most reassuring about our plan, is that we think and we know that thanks to our high retention rates, we are expecting between 200 to 300 basis points of growth due again to our ability to have a favorable arbitrage when it comes to AI product powered for media or for creativity. Maybe, Loris, you can say a word about the U.S.
Loris Nold: Yes. On the U.S. specifically, if you first take a step back, we've been performing very strongly with 5.2% organic growth for the full year 2025, which is actually an acceleration versus 2024. And if you take an even further step back, we've been delivering more than 7% on a 5-year CAGR basis, which is essentially growing twice as fast as the peer group. Now specifically, when it comes to Q4 performance, there is no underlying slowdown. The reasons are, I would say, mostly mechanical. First, we have a high comparable base, as you know. Second, there were some positive year-end adjustments in certain regions and in U.S. they tend to be negative. And the third is go back to Q3, we had 7% growth in Q3. So you have to look at the full year, which was again at 5.2%, very strong performance from the U.S.
Arthur Sadoun: So just to sum up on all of those points. We believe we have a strong guidance. We show great consistency of our growth model. The 4% is rock-solid. We have already 200 basis points done by new business. We are expecting between 200 and 300 basis points coming from our clients. And of course, we will update you during the year. Again, on the Q1 guidance, it's definitely within our yearly guidance, and we feel good about that. And finally, just a word on the U.S., where I'm spending most of my time. Honestly, we are very confident for the U.S. in 2026. I think Loris made the point. Maybe I'll spend a second on what we said about beyond 2026 because, again, what we wanted to demonstrate here is that we have a growth model that is already proven to be sustainable. And by the way, not just for the past 7 years, including 2026, but as you said, Laura, we also see good momentum and strong business momentum for '27 and '28. And this is basically driven by two structural elements. First, on the top line, we are confident in the 6% to 7% net organic growth, and it's basically supported by two things: our ability to act as a connective tissue and this is why we wanted you to see how we are working that should deliver 4 to 5 points of growth with our clients and new business. And then the mechanical contribution of acquisition that is adding roughly 1 or 2 points on the top of our organic growth. So this leads to the 6s or 7s. Second, on the bottom line, we actually anticipate to grow in the coming year EPS by 7% to 9%. And this is mechanically coming from our profitable top line growth, but also all the work we are doing in terms of AI-fication of our operation with actually Agentic solutions that are taking labor-intensive tasks and are creating incremental leverage as you have seen already in our number in 2025. Hopefully, we covered everything. It was a long answer, but with a lot of questions. So if it's fine for you, Laura, we'll move to the next one.
Laura Metayer: Great. That's very helpful.
Operator: The next question is from Nicolas Langlet of BNP Paribas.
Nicolas Langlet: So, I've got three questions, please. First of all, on the organic sales trend. So you mentioned 5.9% in Q4 on net revenue, but could you provide the organic sales on the gross revenue for Q4 and '25 as a whole? And for 2026, would you assume kind of the same gap between gross and net revenue, of course, trying to have something comparable with your key competitor? Secondly, on headcount, could you provide an update on the company's headcount at the end of the year, including the absolute figure and the organic change compared to last year? And you have mentioned the Agentic-fication of the cost base, what's the expected trajectory in terms of headcount over the next few years? And finally, so Omnicom and IPG have now completed the merger and announced their new organization, how would you characterize your sustainable edge on Connected Media? Where do you think Publicis is structurally ahead? And are there any areas where you actually see Omnicom architecture pushing you to accelerate your own rollout?
Arthur Sadoun: All right. I propose we start with headcount. I'm going to make a general comment and then pass on to you, Loris. And then we'll move to gross revenue, and I'll end up with IPG and Omnicom, it's one for you. As we said in the presentation, this is a great question on the headcount, and it gives me the opportunity to come back on how we use AI. For us, AI is a strategic driver of growth, and hopefully, we have made the demonstration, but it's also a way for us to expand our margin and we basically started very early. Hopefully, you have seen that we have built a growth model where the primary use of AI for us is really how do we grow our clients and then we grow our business. But to come back to your question, when it come back to the bottom line, we are actually consistently working to improve our productivity, thanks to AI. What is interesting and maybe you will remember is that we actually started pretty early with this, as we started in 2017 with Marcel. And Marcel is one of the big reasons why we still see this improvement of margin year-after-year while we are growing at the same time. But if you take only last year, we have unlocked 50 basis points of operating leverage, thanks to AI reducing our cost and making sure that there is a true AI-fication of our structure and processes. So this is leading really to margin expansion, operating leverage that we can use either in our margin or in more investment and it's making a real difference. But maybe you can give the number now.
Loris Nold: Yes. On the headcount, as we normally provide the increase in net recruits for the full year, it was about 5,100, which is an increase of 4.8% that you need to compare with an organic growth of 5.6%. There was a slowdown in Q4 where we added 500 net recruits. The attrition remains pretty consistent versus the other years, which is -- versus last year, around 18.6%. So that gives you the numbers on headcount.
Arthur Sadoun: Maybe we move to growth.
Loris Nold: Yes. On growth, for the full year, we delivered an organic growth revenue of 8.9%. It was slightly higher in Q4, as you ask, at 11.6%. And there's a couple of reasons behind that. One is, we had a fairly strong growth in production, events, experiential side of the business. And the second is that's probably where we saw some of the positive adjustment that Arthur described into Q4, that explains the difference versus in 2024.
Arthur Sadoun: I don't want to comment too much on the acquisition of IPG by Omnicom. What I can tell you is a couple of points. First, the drastic reduction of the competitive landscape that we anticipated has become a reality pretty early in 2025. And again, I encourage you to look at the JPMorgan chart. You understand that we have been a large beneficiary of this. Again, what matters here are the number and not the press release, I will invite you to look at those numbers. They show how we have been able to capture a disproportionate part of new business and win market share. Second, again, I think that Omnicom is definitely a strong player, it was before this acquisition. It's still a strong player. The big difference between Omnicom and us is that we are investing in new capabilities that can help our clients grow in this AI world. They are consolidating more of the same. Axiom has been with IPG for the last 10 years. It's not that we have not been pitching against Axiom for the last 10 years. So, I don't think there is absolutely any change in terms of assets. The only thing that is changing, but that, I would say, is a bit back to the future, is that the new Omnicom is roughly the size of what WPP when I started. Actually, the gap is a bit lower. But as John Wren, himself, would say, scale matter to a certain extent. And by the way, you need to have scale where it matters, which is media where we do data, where we do influencer, where we do commerce, where we do and countries where it really makes a difference, like the U.S. and China, where we are leading. But scale doesn't make you win. I love this expression from John, that says it gets you to the stadium, but it doesn't make you win. And so, now it's really going to be about who has the best model, who has the best talent, who again can differentiate with our capabilities which we are again making the demonstration this year. And there is a very strong new business pipeline coming in 2026. We have good opportunities for Publicis, and we feel very confident that we're going to gain market share again.
Operator: Next question is from Adrien de Saint Hilaire of Bank of America.
Adrien de Saint Hilaire: Yes. So a few of them, please. On the 6%, 7% revenue growth that you talk about in Slide 38, how much annual investment in acquisition do you think is required to hit that? Is the EUR 900 million, basically the new normal? Because previously, you had touched on EUR 400 million to EUR 600 million. Second question, could you discuss a bit the pricing environment in pitches? There's been some talks in the press of potentially some competitors undercutting on price. I'm just curious what's going on there? And just to come back on the U.S., you answered to Laura's question that it didn't slow down and Q4 performance was really mechanical. So is there an implication in your answer that you expect the U.S. to be better in the first half of '26 versus Q4?
Arthur Sadoun: Again, I can start with the U.S. and then maybe you come back on the 6% to 7% and I close with the pricing environment. We just see a very strong momentum in the U.S. Overall, if you look at our performance over the last year, our new business rate win, our ability to really innovate there, we feel very, very strong, no more or less than what you have seen so far. Although, by the way, as I described earlier, it's too early to anticipate, but all those moving pieces with competition can actually have some leverage for us. But this is too early to say. This is why we're staying where we are with our 4% to 5%. But we feel that there is a lot of opportunities. And I'm touching wood as it could happen any time, but so far, we don't have any defensive pitch. We only have opportunity to grow by H2 because we'll have to win something and of course, 2027.
Loris Nold: On the revenue growth, the 6% to 7% that we expect in the medium term, there's roughly an impact of 180 to 200 basis points of M&A, which is consistent with the previous year. So of course, there's a connection to the overall envelope that we allocate to M&A, which should remain fairly consistent, hopefully, but it's more obviously about the revenue impact. So just assume 180 to 200 basis points impact.
Arthur Sadoun: And again, I think the point that we need to underline here, Adrien, is that we are delivering a very strong organic growth in what is still a very challenging environment. Just look at our peers and the number they are delivering, which means that if things were to improve, if clients were to resume CapEx, if in general, the sentiment was a bit more positive, we can, of course, expect to do more. This is way too early to say that this is why we are staying beyond 2026, meaning in '27 and '28, based on what we see in the world today, and I won't comment on the macro, but you know it as I do. So maybe it could be a year where we spend a bit less in acquisition. And by the way, a bit more in share buyback, but we do better growth because the environment is better, that will really depend. But what is certain is that we see this improvement in the margin and the growth though in the EPS for not only '26 but beyond. On the pitch situation, let's be clear, as I said, we expect 2026 to be another active year for pitches. As I said, we have a strong pipeline. We are expecting again to win market share. Now is there some pitching -- pitches, sorry, where we see some dumping on prices? Yes, we do. And if you look carefully at the pitch we are participating, you will understand the one that we consider are only based on price that we don't want to participate. Is every pitch difficult and you have to be competitive on price? Of course. But this is also where we have an advantage with the agility of our model. So again, I think that we can see some dumping some time. It is definitely not the norm, because everyone understands that it's not sustainable. But overall, we feel very good not only about the market momentum in new business, but our own momentum.
Operator: The next question is from Ciaran Donnelly of Citi.
Ciaran Donnelly: Yes. A few left from myself. Firstly, just on use of cash. Can you help us understand what capabilities you're most focused on in terms of adding through M&A in 2026? And secondly, in a case where you don't spend the full M&A envelope, would you consider kind of allocating that cash to share buyback? And can you help us understand the components around the possibility of that coming through and how we should think about a potential quantum in any case? And then just finally, in terms of potential impact on the operating margin from reinvestment rates, if we look at kind of FY '26 and bridge that full year operating margin, how should we think about reinvestments in FY '26?
Arthur Sadoun: Thank you very much. I'll take the M&A strategy and the cash allocation. I'll leave you with the last question, Loris. So again, when it comes to our acquisition strategy, I think we have been pretty consistent. We are focusing in investing in the product and services that drive differentiation for our clients and actually open new addressable market for us. If you ask me the reason why we are growing so fast versus peers is definitely because of our model, our existing capabilities and our talent, but also our ability to have a very different strategy from our competition and say, "We are not here just to consolidating more of the same, we are here to bring new expertise that you need in this new world." A great example of that is what we have done with Influencer. This is growing almost triple digit again this year, I guess. But more importantly, when we pitch and with our existing clients, it gives us a big differentiation there. By the way, so much so that some of our competitors are actually using our own platform. So it gives you a bit a sense of why this is the right thing to do for our clients, for our growth and for our financial KPIs. When you look at 2026, again, we are planning to invest circa EUR 900 million. It's always the same topic. Identity resolution, new media channels, production. There is a lot we can do in production that is becoming very technical and business transformation. And we feel good about the fact that every time we make the right acquisition at the right place with the right people and the right IP, we see a growth that is strongly accretive to our growth. Take last year, our acquisition grew by roughly 20%. When you look at the cash allocation for 2026, we actually said that we plan to generate EUR 2.1 billion of free cash flow. We are actually increasing versus our record level of 2025. To be clear, we plan to use this cash in two ways. The first half toward up to 50% in cash dividend, maintaining what is definitely the highest payout of the industry. When it comes to the second half, we plan to spend it toward acquisition, as I said, to boost our growth with AI, and again, this is why this is the right model and this is why those acquisitions are well, are good. But again, we will do a first share buyback to make sure that we allow for LTI plan to keep the share count stable. And an additional share buyback if we were not to spend the full envelope of EUR 900 million towards acquisition. So you can see half of this EUR 2.1 billion that are already dedicated to a cash dividend and the other half will be split between the acquisition we found, the share buyback we make for the account and more share buyback if we don't spend this money in acquisition.
Loris Nold: On the question on the investment, if you look at the sum of our investments in AI, talent upgrades and new business, it represents roughly 230 basis points in 2025, which is up 30 basis points versus 2024 at 200 basis points. So essentially, we generated 50 basis points of operating leverage, if you add on top of it, the 20 basis points of margin improvement that we've generated. Now when it comes to 2026, and specifically H1, I think it's a bit too early to guide. But what I can tell you is that we continue to -- we will continue to generate operating leverage in 2026 for the reasons that Arthur mentioned, while sustaining a level of investment to support our growth. So the assumption that I would make is a sustainable level of investments.
Arthur Sadoun: There is something interesting here, which is to get this operating leverage through AI that is already delivering margin improvement and further investment. We have to invest. What people forget some time is that AI is expensive, particularly in the first year when you want to put the agent in place. So if you look beyond 2026, again, we feel that the model we are doing and the investments we are making at the moment will help us to continue to further improve not only our growth, but our margin expansion.
Operator: The next question is from Silvia Cuneo of Deutsche Bank.
Silvia Cuneo: My first question is on the outlook for technology. It was encouraging to see another quarter of light positive organic growth in Q4 and you just mentioned you expect some growth in 2026 as well. So, can you talk about what are you observing in terms of client caution in IT consulting still? And do you anticipate some pickup in demand for the transformation project, specifically? Or are you taking some share of the market? Then secondly, on the AI product strategy and client adoption. Given your investment in AI and the direct contribution this is having already to your performance, can you talk a little bit more about which of your AI-powered services are currently most popular or like in highest demand among the clients? And looking ahead to 2026, will the focus be more on introducing new AI tools and functionalities or driving wider adoption and deeper integration of the existing capabilities across your client base?
Arthur Sadoun: All right. Very big question, a large question. I'll start with technology. I'm not sure I got everything, but you tell me if I'm answering your point. First, again, we said that in the presentation: we were pleased to see that Sapient was positive in Q4. It's basically due to the fact that even though clients have so far not resumed on CapEx, they are still spending money in terms of OpEx to plan for what they need to do next. So we see this kind of growth. I mean, it's very important to note that more and more every day we consider Sapient as a strategic asset for us. And maybe I'll spend a minute on that as we did not in the presentation. There are basically four reasons. The first is that it did Publicis client access to 25,000 engineers -- true engineer. And by the way, it came back to the question I had previously about Omnicom. We have 25,000 engineers and consultants at the moment and that can implement for our clients their own business transformation and make sure that we bring the right product. This is super important. Because again, the AI adoption at an enterprise level is way more complicated than when it comes to consumer. And our ability to modernize tech infrastructure, our ability to build agents and then to connect that with the marketing stack is one of the reasons why our clients are choosing us. The second thing, and to come back to your question, we definitely believe that Sapient in the future will be accretive to our growth. I mean, they have a couple of products that are really what our client need, that our clients are looking at very seriously and we feel confident that on the long run, it's definitely going to be a source of growth. And last, but not least, it's important to note that Sapient also play a key role, and that's come back to your second question, a key role to make sure that our media and creative operations are actually AI proof. A great example of that is content production. Actually, thanks to Sapient, we have transformed what was a headcount-driven offshore model into an adjusting platform that is actually growing double digits. This will not happen without Sapient. Now to be clear, Sapient that represents roughly 14% of our revenue continue, as I said, to operate in a challenging context, you can see that with every IT consultant at the moment. But again, that's the good news, we expect Sapient this year to show a slight improvement and we feel very confident again that in the future, we'll have a great dynamic. I don't want to get too theoretical on your question about AI and where we see big demand and excitement from our clients, but there is definitely a couple of points that deserve to be mentioned. The first is, what our client want most than anything at the moment is growth. And the ability we have to connect our Epsilon data with other sources of data in order to help our clients, thanks to AI, not only to know better their customer but find new prospects and find them at an individual level is definitely something where we are winning because again, we are the only one with this identity graph. Our ability to then, at an individual level, connect around one consumer, will it be a client or a prospect, the right media ecosystem from paid, earned, shared and owned from, for example, a person to an influencer, to commerce, this kind of thing also makes a big difference. And by the way, a big driver for Connected Media to grow. Then, and this is where our creative business is growing, it's great to produce content. With AI, everyone can produce content. But what AI allow us to do is actually to connect this content with our data and make content intelligent, making sure that the contents you are sending is paying off or if not is being changed or removed. And last, but not least, and that's also come back to a point that I know all of you have in mind is that it helps reduce our client cost overall when it comes to marketing. And our ability not only to add them on growth but to add them for cost reduction, again, is one of the reasons why we are growing so fast in such a challenging market and actually widening the gap. The last point I will make is that because we own all of those data and technology, and we don't rent it. We are able to put it in the client environment. Because, again, the name of the game is marketing transformation is not a fancy AI UX that looks good on paper is fundamentally transforming the business and marketing model of our clients and bringing within their environment, the best tech, the best data and the best AI and this is exactly what we're doing.
Operator: The next question is from Jerome Bodin of ODDO BHF.
Jérôme Bodin: Yes. A few remaining questions. The first one is on the restructuring for 2026. So what could you tell about this one? And what link could we make with the headcount for next year? So, do you see the headcount may be down or is it more beyond 2027? That's my first question. My second one is on the -- is related to the recent partnerships of Epsilon with Microsoft and LiveRamp. So could you walk us through this agreement and what they bring to the business? And more generally, what's the strategic rationale with these partnerships, which are very different in nature, but the one with Microsoft seems to be the first one with walled garden. So should we expect this deal to lead to more equivalent deal with other platform going forward? And very last question on your sport offer. So you recently acquired Bespoke and you signed a partnership with Genius. Should we expect more deal in this field? And could be -- could you make some M&A on that field as well?
Arthur Sadoun: Thank you very much. I'll go into -- starting with your last question. Yes, sports is definitely something we are very interested in. Our sport activity and the acquisition we have made are growing very fast. But more importantly, they are a big topic for our clients, because they consider that sport is a priority. And so yes, if we find the right target, we will definitely invest in this area. When it comes to partnership, LiveRamp and Microsoft are two very different partnerships, but I'll talk about both. And I'll start with LiveRamp. I mean, we believe that data collaboration is very important for the future. And the fact that we have at the core Publicis, this Epsilon data stack, which is the strongest in terms of identity that as you know, we have enriched with a couple of other acquisitions, allow us to be the best of both worlds. Having our own data that is a competitive advantage for our clients, as we just discussed before, but also having thanks to this identity, an anchor that can accelerate data collaboration. And as we believe data collaboration is very important, we are making a series of partnership here. You talked about LiveRamp. I don't know if you have seen what we have done with DeCentriq also that is more in Europe. This is very important for us. Microsoft is a very different story. And maybe you would remember that, Jerome, when I took my job in 2017, we went to an Cannes, and we said, you know what a big part of the future of marketing and advertising is AI. And I will invite you to see what our competitors and the press we are seeing at the moment about this idea. The least we can say is that it has not been well received. And maybe one of the very few person that thought it was a good idea apart from the Board and definitely, Maurice Levy, was a guy called Satya Nadella, that at the time was CEO of Microsoft for a couple of years. And Satya wrote me and said, "Look, Arthur I think you're right, AI is part of marketing, and I will be very happy to partner with you with Marcel." And this is how we launched Marcel in 2017. And this is why we have such an advantage of AI today when it comes to managing our own people and finding the operational leverage that we talked about or grow our clients. We are just furthering and strengthening our partnership, making sure that everyone at Publicis has access to Copilot. Because to be clear, we know that we still have room to improve our margins, to continue to invest, but part of this investment we need to make sure that our people are AI fluent and that they have the right tool to be more productive. So this is basically what is a partnership with Microsoft. Restructuring?
Loris Nold: So, on restructuring and headcount. Starting with restructuring, you should assume the same sort of pace into 2026, circa EUR 160 million, which is 1% of our net revenue directed towards talent upgrade and some local adjustments. On the headcount, again, as we're measuring net recruits, same assumption as what we delivered this year, which is our net recruit growth will be below our organic growth. So that gives you a sense of where we're aiming for.
Operator: [Operator Instructions] The next question is from Conor O'Shea of Kepler Cheuvreux.
Conor O'Shea: Yes. Three quick questions from my side. First question, Arthur, just to come back on the tailwind from net new business, just to understand in the 4% to 5% guidance for '26, as it stands today, are you making an assumption that the tailwind from net new business will be similar in 2026 as in '25 or a little bit lower pending what happens in tenders as we move through the '26 year? That's the first question? Second question on margins. First, could you give a sense of whether incentives as a percentage of net sales for 2025 increased or decreased? And also I see that the margins in North America were a little bit lower, if you could maybe talk around that, is that ramping up on new business or AI investments? And then the last question, just to come back on Sapient. I think implied in some of the commentary of Sapient's performance by region is a sharp decrease in France and Germany. That's not the first quarter we've seen that. But maybe you can just talk around what's happening in those particular markets for Sapient?
Arthur Sadoun: Just quickly on Sapient to start with this. You see ups and downs from one quarter to another in countries because, again, it's pretty project-based. So when you have a scale that is pretty limited, of course, the percentage is pretty high, so nothing particular on that. Maybe on the new business, which is a great question. The reason why we delivered 250 basis points in 2025 is because not only we benefited from what we won in 2024, but also benefited on the early wins. I won't mention any, as you know, we don't mention any new business, let's say, in Q1 and beginning of Q2. The good news is we have won a lot this year. So yes, it has benefited to 2025, but it will already definitely benefited to 2026, and this is why we have a clear visibility on 200 basis points. For the rest, as you know, there is a very strong activity at the moment. It's very early in the year. And so I can't tell you more. When we started last year at the same time, we were anticipating 200 basis points, we finished at 250 basis points. Again, what I can tell you for sure is that it's not going to be less than 200 basis points. And this is why, at this stage, the 4% is so rock-solid and the aim is definitely 5%. Let's see how things evolve over the quarters.
Loris Nold: Yes. On the question of incentive. Conor. So, as you know, the mix is a cash payment and LTIP, we expect 2026 to be, again, very consistent with 2025 at roughly 3.8% of net revenues.
Conor O'Shea: Okay. Great. And on the North American margins, slightly lower in '25. Can you just talk around a little bit what's happening there?
Loris Nold: First, the margins are fairly consistent. As you see, they've been balancing out between the region. In North America, specifically, that's where we bear the largest share of our AI investments. So that explains the difference between 2025 and 2024.
Operator: The final question, gentlemen, is from Julien Roch of Barclays.
Julien Roch: Yes. I'll start with a wish, not a question, is we get the gross revenue organic going back. You gave us Q4 and full year, but if we could get several quarters back, that would be great. And then on the questions, there was some press speculation that you were talking to LiveRamp. So is big M&A and are Sapient and Epsilon back on the agenda? That's my first question. The second is, can we get a breakdown of the EUR 2.8 billion of pass-through between media, production, event and others? And the last question is the ANA released the survey about Principal Media. I think they got close to 200 U.S. advertisers, which should be quite representative. And U.S. advertisers are saying that they're seeing that about 18% of their billings or media spend goes into principal. When I look at your pass-through coming from media and new billings, you can get max 3%. So, I really don't understand why advertisers are saying that principal is 18% and it looks like it's only 3% for you. So if you could explain that?
Arthur Sadoun: The only thing I'm going to be able to explain that as it's coming from them, I don't understand either, to be clear. What I can tell you is that actually, there have been some guidelines that have been issued by Forrester following this ANA report and that we are already following all the principles that they are putting, which include compliance, transparency, budget allocation, performance metrics and media plan. On Principle Media, I guess, we have been very clear. It is not a strategic priority for us. We are not the biggest player by far. And by the way, it represents roughly 1% of our group revenue. We don't have any barter agencies, which is a huge leverage for this kind of thing and we definitely don't plan to double down. What is sure is when we do principle and we do principle, we do that in a totally transparent way with our client, which is fully opt-in. So they know exactly what is happening. It's data safe, which I think is the most important point. And of course, we have zero tolerance for garbage inventory. So this is maybe what I can tell you. I don't want to get too technical, happy to take that offline, if you want. On the M&A, we've been very clear. We have a bolt-on strategy. That's what we have. And hopefully, we've been clear on the use of our cash and how we would use our cash if we don't find the bolt-on acquisition we are looking for. Will it be EUR 800 million, EUR 900 million or a little bit more? Maybe, maybe a little bit less and do some share buyback, maybe. At this stage, it's too early. What we do believe is that there will be some opportunities. The big question is going to be at what price. And you would remember that depending on the year, we double down or we slow down, because we want to make sure that it's the best return for our investors. So we have been very careful not only on the strategic thing that is bringing to us, but also on the price we are paying. You want to take the pass-through question?
Loris Nold: Yes, I'm going to take the pass-through. So first, I mean, the reason why we don't break down typically gross revenue or pass-through by quarter, it varies -- it can vary very importantly between quarter because just one single event or one big production would make a difference. And then on the EUR 2.8 billion breakdown, I'd say it's close to 50% media, then the rest is 40% on production, events and experiential.
Arthur Sadoun: If this was the last question, maybe I want to wrap up quickly. First of all, thank you very much for being with us. Hopefully, you're going to take three things out of this presentation. The first is we are ending this year on a very strong note, very strong organic growth improving all of our financial KPIs and starting with the guidance despite all of the difficulties, despite the comparable, despite the tough -- a good Q4 guidance that as last year and the year before is for the moment between 4% to 5% with a 4% that is rock-solid. The second thing, and we discussed a lot about that, so hopefully, we gave you a bit of granularity is, Publicis is winning, thanks to AI. And hopefully, we showed you that not only we are winning on the top line, widening the gap pretty significantly with our peers, thanks to the arbitrage that our clients are making, but we have some operational leverage that we are either putting in our margin or new investments in order to make sure that we continue to build our model. And last, but not least, and for those that have been following us for a while, I think that over the year now, we have made the demonstration that we have built a growth model. And the reason why we wanted to give you a bit of visibility beyond 2026 is that we believe that growing our top line, growing our bottom line, increasing our EPS is something that we can sustain beyond 2026. Well, thank you very much. Have a good day, and I guess, see you soon. [Foreign Language].
Operator: Ladies and gentlemen, thank you for joining. The conference is now over, and you may disconnect your telephones.